Operator: Good morning and welcome to the First Interstate’s First Quarter 2015 Earnings Conference Call. All participants will be in listen only mode. [Operator Instructions]. Please note this event is being recorded. I would now like to turn the conference over to Marcy Mutch. Please go ahead.
Marcy Mutch: Thank you, Zilda [ph]. Good morning. Thank you for joining us for our first quarter earnings conference call. As we began, I'd like to direct all listeners to the cautionary note regarding forward-looking statements and factors that could affect future results in our most recently filed Form 10-K. Relevant factors that would cause actual results to differ materially from any forward-looking statements are listed in the earnings release and in our SEC filings. The Company does not intend to correct or update any of the forward-looking statements made today. Joining us from management this morning are Ed Garding, our Chief Executive Officer; and Kevin Riley, our Chief Financial Officer. At this time, I will turn the call over to Ed Garding. Ed?
Ed Garding: Thanks, Marcy. Good morning and thanks again to all of you for joining us on the call. Yesterday, we reported earnings of $21 million or $0.46 per share. We were encouraged by our year-over-year increase in pre-tax, pre-provision income, which was up 17% from the first quarter of 2014. Net interest income combined with non-interest income or total revenue growth was up 12% compared to the first quarter of 2014. Year-over-year our revenues grew faster than our expenses a lot of which can attributed to the Mountain West acquisition and the realization of those cost savings. Overall we had a good first quarter, so I will start by giving the highlights. Organic loan growth was approximately 5% year-over-year and 1% quarter-over-quarter. Most of this growth was in the commercial real estate portfolio. Mortgage revenue, which is typically slower during the winter months was up 27% over the first quarter of last year. During the first quarter, we opened an office in Sioux Falls South Dakota, focused primarily on mortgage lending. While this didn’t have an impact on first quarter results, we expect it will provide a boost to revenue in the latter part of the second quarter. I will provide a little more detail on the Sioux Falls location in a minute. We also entered in a definitive agreement to purchase, Absarokee Bancorporation, parent company of United Bank. This deal will provide us with branches in communities complimentary to our headquarters in Billings and about $74 million in asset. We can offer a broader base of financial services to the new United Bank customers we are also better serving our existing customers that reside in those communities. Kevin will talk more about United Bank in his comments. We did see non-performing assets creep up this quarter to 1.1% of total assets. Over 50% of the increase was related to one commercial credit in the oil industry. This down grade is due to facts specific to this borrower and isn’t indicative of a broader trend within our loan portfolio or the energy portfolio. Our direct exposure to the oil and gas industry continues to remain at rate around $70 million with another $40 million committed. Our goal is to keep the non-performing asset ratio below 1% and we believe, we will get that down within that range over the next quarter or two. On the positive side, both classified the end criticized loans decreased for the quarter, which is indicative of our future expectations. Moving to capital we had a 25% increase in the dividend paid during the first quarter. We also repurchased over 500,000 shares of stock. Adding these activities to what I have already discussed we have hit on all cylinders in our capital deployment strategy, which is organic growth, strategic acquisitions, stock repurchases and payment of dividends and I’d like to circle back to the office we opened in Sioux Falls I don’t know how many of you have been to the Sioux Falls area recently, but it is a very vibrant corner of South Dakota. 29% of the state’s population resides in the Sioux Falls area and population growth is expected to be over twice the national average over the next 5 years. We had the opportunity to bring in a mortgage team, we’ve worked together in the past, the team already has a well established network in the Sioux Falls area so they have been able to get the ground running or should I say lending. The branch which is officially opened in March is focused on residential home mortgages and construction loans. This new location will help us meet our aggressive mortgage production goals for the year. Now a little about what’s happening across our footprint. Looking ahead the economic benefit, the tourism and AG industries will seen from low gas prices should help to offset any weakening in our general economy from lower oil prices. Well crude oil prices have gone backup a little in the last three weeks, it’s too early to tell that this will result in any increased activity in the Bakken. And while there have been layoffs over in North Dakota and is actually declined since the [Audio Gap] end of the year. We expect the tourism season will go well this summer. If you are planning to go to Yellowstone Park this summer you should make reservations soon, a lot of the lodging in the park has already booked. If you do try to get reservations and can’t find anything call me and you can stay at my place which is just an hour away from the park. All you have to do is sit through a short presentation on why you ought to own stock in First Interstate. This year also marks the 75th anniversary of the Sturgis bike rally, if you’re not familiar with this event, motorcycle enthusiasts head to Sioux South Dakota for a three-week long celebration. The [Indiscernible] Sturgis normally about 6,500 people, we will welcome around 1 million bikers into their community for this event. The rally is the fact of event that benefits from low gas prices, which may be an incentive for more tourists to make the trip out West. So we may see surrounding areas like Yellowstone and Glacier have an even stronger year than in the past. We are just kicking up the prime tourism season and I will be able to give you a more clear picture and how that’s going over the next couple of quarters. We are also cautiously optimistic about agriculture this year. Well, cattle prices remain strong heading into 2015, sugar and grain prices are depressed. A good crop year along with low gas and diesel prices would go a long ways for helping our farmers [ph] have a productive year. So with those comments I would like to turn this over to, Kevin for a little more detail behind the numbers. Go ahead, Kevin.
Kevin Riley: Thanks, Ed and good morning, everyone. GAAP earnings for the quarter were $0.46 per share. On a pre-tax, pre-provision basis income increased $4.6 million or 17% over the same quarter a year ago the organic growth seeing across all of our key business lines. Let us start with the balance sheet. For the quarter, we had organic loan growth of about $30 million. Commercial real estate increased about $32 million or 2% this quarter. This was partially viewed by construction real estate loans moving into permanent financing. In addition, other commercial loans grew about 2%, while the consumer loans grew around 1%, but all the consumer loan growth attributed to the indirect loan portfolio. As it is typical for the first quarter, agricultural loans continue to pay down and we would expect borrowing to pick-up as we head into the second quarter. This quarter our investor portfolio will increase slightly to $2.3 billion and remains at 27% of total assets. Our strategy remains study and we continue to keep the duration of the portfolio short, decline in this quarter to 2.61 years from 2.98 years last quarter. The steep drop in duration during the last quarter was the result of declining interest rates which resulted in faster of prepayment’s fees on our securitized investments. I will keep saying this, if and when we tried, we really well positioned. As we expect it our total deposits declined slightly this quarter. The guy was dispersed across all deposit types, the saving account being the only category showing an increase. The declining time deposit exceeded the decline and demand in non-interest bearing accounts resulting in a 2 basis point decrease in our cost of funds. Now let’s look at the income statement. The decrease in net interest income were $1.2 million compared to last quarter it was largely due to 2 last days of interest this quarter. The net interest margin rebounded 5 basis points for the quarter to 3.43%. Exclusive of the purchase little discounts related to early pay-offs of acquired loans and the recovery of charged-off interest, our margin increased 6 basis points. Breaking this down further it was an 8 basis point increase attributed to reducing the unusual high balances we carried in overnight funds last quarter and this increase was offset by 2 basis points resulting from lower yield on our outstanding loans. We’re hopeful that we can grow loans at a pays that mitigates further margin erosion and increases net interest income. Provision expense for the quarter was $1.1 million, while we had previously indicated we expected the provision to cover our net charge-offs that didn’t quite work this quarter since we had net recoveries for the quarter. The increase in non-performing assets required an additional allowance. And as Ed mentioned earlier, we believe the slight uptick in non-performing assets will be temporary. Moving onto non-interest income, income from the origination to sell the mortgage loans was $5.9 million up 6% from the prior quarter and 27% for the same quarter last year. Since mortgage revenues are an area we specifically targeted to grow, we’re encouraged by the year-over-year increase. Purchase activity accounted from 57% of our production this quarter. We are seeing quite a bit of refinancing activity with rates where they are today, that said, we are seeing an influx of buyers and new building in the residential market. Ed mentioned the Sioux Falls office in his opening comments. I’ll judge that that within the first 3 weeks of the official opening of this office, the team had prequalified 10 buyers and had an additional 13 deals in the pipeline. 2 of these deals have closed already in April. So as we focused on growing non-interest income, the mortgage business will continue to be in area of emphasis. Well the major revenues continue to grow, as well as assets under management. Assets under management at the end of the quarter were $4.6 billion. Revenues grew 3% quarter-over-quarter and 11% over the first quarter of 2014. Revenues from both debit and credit card pays continues to increase, while down from last quarter due to normal seasonal fluctuations of the number of transactions, we saw 8% growth over the first quarter of last year. Our non-interest expense is exactly what we expected to be right around $16 million a quarter as we guide you to [Indiscernible] on January. [Indiscernible] we’re talking about capital, as Ed mentioned our deployment proprieties remain unchanged and we effectively manage each leg of our strategy this quarter. We’ve already talked about organic growth, [SOHU] acquisition. Most of you heard me say that we were looking for ways to efficiently acquire smaller institutions that make strategic sense to us, because there are a lot of those in our market. United Bank is a perfect example of this type of opportunity and we are excited to welcome their customer and employees to our bank. We have filed our regulatory applications and expect to close early in the third quarter. We had all cash deal and a small shareholder base. Our acquisition cost should be minimal, and the execution risk is very limited and it should be immediately accretive to earnings. This deal is on a smaller end of what you consider, but it’s a great fit for the company and a great task to see if we can do these types of acquisition in an efficient manner. Going forward, we’ll continue to evaluate these types of deals to see if they make sense, while looking at larger transactions as well. As you saw on a release, we’ve repurchased 566,000 shares of stock in the first quarter at an average price of $126. We’ll continue to look for opportunities to repurchase shares as the market allows. And of course we continue to pay quarterly dividends back to our shareholders with the intent of hitting our targeted payout ratio of 35% to 40% of earnings. Capital ratios remain strong and even with the impact of Basel III we have play of capital to allow us to continue to consider growth opportunities. And with that I’ll turn the call back over to Ed.
Ed Garding: Thanks Kevin. I want to ramp up by briefly mentioning the 8-K we put out last week related to the litigation involving our former customer. Now we’ve received the final order issued last week by the district court judge it will allow us to move forward and feel our case before the Montana Supreme Court. As you know we accrued $4 million in the third quarter of 2014 related to this litigation and more detailed information about this was included in our SEC filings. I will try to respond any general questions you might have, but won’t speak in great detail about this ongoing litigation. So with that we’ll open it up to questions.
Operator: Thanks you. [Operator Instructions] The first question comes from Jared Shaw with Wells Fargo. Please go ahead.
Jared Shaw: Hi, good morning.
Ed Garding: Good morning.
Jared Shaw: When we look at the move in asset quality and the growth in non-performer and the result and change the allowance, should we expect to see as the asset quality improves going, should we expect to see the allowance from down the percentage of loans to potential additional reserve releases or as the asset quality improves the results for the few more as loan growth comes into the loans ratio come down?
Ed Garding: Kevin, go ahead.
Kevin Riley: Well, I think as asset quality improves, I don’t know, if we’ll have many share releases, but we have the ability allowance as loan growth continues, but as asset quality improves the allowance will be not needed as much. So it’s kind of hard question to answer, but I would still project that our [Indiscernible] pretty much cover our net charge offs.
Jared Shaw: Okay and then, of course most of the, could you say most of the provision in this quarter was due to that specific increase in the [Indiscernible]?
Ed Garding: Correct.
Jared Shaw: Okay, and then when you look at – looking at the M&A landscape, do you think that you could do multiple deals at the same time of the opportunity arise and this was this recent deals relatively small in terms of an asset side, how many do you think you could be working on it at any given time, if there are similar size?
Ed Garding: Well, we have never done more than one at a time and in fact, we have usually allowed some space between acquisitions because, we’re very deliberate about the implementation. So more directly to your question, if there were two in the size range of the United Bank one in that 100 million undersize range, I would say, yes. We could challenge our people and they would raise to the challenge, whether that will happen or not that is probably unlikely just because it takes a while to find and negotiate those kinds of deals.
Jared Shaw: Okay, great. And this [Indiscernible] outer calling provision question. Was there loan recovery benefit included in interest income this quarter?
Ed Garding: Kevin.
Kevin Riley: Yes, there is little bit of our interest recovery and your question was non-accrual loans or…?
Jared Shaw: No, no I mean, I’m sorry. Was there an interest income? Was there any benefit from loan recovery this quarter?
Kevin Riley: Yes, $591,000 it’s in our press release.
Jared Shaw: Okay, great. Thank you.
Operator: Next question comes from Jeff Rulis with D.A. Davidson. Please go ahead.
Jeff Rulis: Thanks, good morning.
Ed Garding: Good morning, Jeff.
Jeff Rulis: Question on the non-interest expense run rate, may be first clarify the Mountain West, is that fully converted at this point?
Ed Garding: Yes, we’re actually converted them to our core operating system and that the name change last fall.
Jeff Rulis: Got it, and so from expected cost savings or kind of what’s trickling through the non-interest expense laid out on this Q1’s level, albeit a little higher on the comp side. That’s a pretty good base for representative of going forward?
Ed Garding: Yes, that is correct.
Jeff Rulis: Okay. And then Ed, I guess I’ll [recur] lightly on the litigation, but may be specifically if you could answer on, would you expect more accruals or likely to play out the appeal process before possibly add into the leave you’ve accrued $4 million so far. Would you possibly accrue more ahead of any appeal decision?
Ed Garding: From an accounting standpoint it is so uncertain that I wouldn’t expect more accruals prior to having better knowledge about the final number and we’ve got our insurance company in the mix and of course, we were working and have been working on the appeal process and that kind have been put on hold as we waited for the District Judge to finalize the ruling, but now that’s finalized so we can move forward with that piece of it too, but there is an of lot of uncertainty, so I don’t expect accruals in the near future, once we know a number then perhaps there would be an expense.
Jeff Rulis: Got it, that’s okay. And then I guess the last question just on – I guess may be to Kevin, on the core margin, there is some puts and takes in there, but I guess the outlook for assuming a pick-up in loan growth, what’s your view of kind of margin direction going forward?
Kevin Riley: Well, I mean, as loan picks up then we believe large and we’ll be here, we could see a basis point erosion if we stay in this lower environment, but we still have some excess balances where we could put the work which could offset any kind of erosion on the yield of loan, so it’s going to be right around here or it could be like a basis point down.
Jeff Rulis: Fair enough, thanks.
Operator: Then next question comes from Jackie Chimera with KBW. Please go ahead.
Jackie Chimera: Hi, good morning everyone.
Ed Garding: Good morning, Jackie.
Jackie Chimera: 1 wondered, if you could provide a little bit more color on the – you mentioned in your prepared remarks that you have aggressive mortgage growth calls, if you could just give us more information on that some of those?
Ed Garding: I’m sorry, I didn’t understand the question, Jackie.
Jackie Chimera: You had mentioned that this year you have pretty aggressive mortgage growth calls, I was just wondering what if this were?
Ed Garding: Kevin?
Kevin Riley: Yeah, well, we believe that mortgage gain on sale, mortgage will increase substantially over last year, especially with what we are seeing with regard to read that financing and also are in continued emphasis on trying to pick up more market share in our current markets as well as our expansion in the Sioux Falls area, so we’re expecting a nice growth pattern with regards to that business this year.
Jackie Chimera: Is it possible you might add additional offices throughout the year or as Sioux Falls kind of it?
Ed Garding: I’ll answer that, Jackie the Sioux Falls is the only additional office, but we have added people. And so, when confined top originators within our existing communities we hire and I’ve been adding, because we firmly believe that they paid for themselves with the volume that they bring us. We challenge our originators they all have minimum volume goals that we watch closely and then in order to help them reach their goals we’re working on all new software which will be installed probably late summer and with the long-term goal to a significantly lower the number of days between application and closing in which typically makes the realtors and the home owners very happy and we’re actually already seeing movement in lowering the number of days from applications to closing and we think that helps us get referrals which in term will help with the volume goals.
Jackie Chimera: Okay, great. That’s wonderful color thank you.
Operator: The next question comes from Matthew Ferguson with Sandler ONeill and Partners, please go ahead.
Matthew Ferguson: Hi, good morning.
Ed Garding: Good morning Matthew.
Matthew Ferguson: Can you give us a – what was the balance of the loan pipeline at quarter end and can you give us some inside into the complexion and weighted average rate?
Ed Garding: I’m looking at Marcy, because she has got that and it look like maybe Kevin is going to answer that.
Kevin Riley: Weighted average rate of loans ever booked this quarter were about 4.81%. What we’re hearing from the field is that the pipelines are pretty robust right now, but sometimes they could be optimistic and that bring it to collusion, but they seem pretty excited about what they are seeing right now in loan growth. So, we hope the second quarter could look something like the second quarter of last year, we saw most of our loan growth in the second quarter, what we seen so far in April is that we had seen some pick up in loan growth, so we’re hoping that the second quarter is a strong quarter.
Matthew Ferguson: Okay. And then looked in terms of your M&A outlook, can you give us your most recent thoughts on crossing the $10 billion [02:54.2] [indiscernible] and how M&A and the $10 billion mark kind of come into play in our eyes and when we might expect that?
Kevin Riley: We indent to be ready for the $10 billion mark well before we hit the $10 billion mark. And so, we have an internal task force that’s working on that that’s made up of three of our Board Members and three of our Executive Team. And one of the big things about being over $10 billion is the DFAST Stress Testing, we’ve already bought the software to do that and want to be ahead of the curve there. And we don’t have any strategies to stay under or go way over. We don’t want the numbers to manage us so much as we want to manage the numbers.
Matthew Ferguson: Okay, all right, and then lastly, I sensed a bit of a change in tone, you guys sound even more optimistic than you were last quarter about your indirect exposure to the Bakken. Am I hearing that right and kind of what takes you in that direction?
Ed Garding: Well, we have seen an uptick in the past new rate specific to indirect loans in the Bakken, but it’s been very minor and that’s a very minor part of that $5.5 or $550 million portfolio. And it’s less – our exposure to the Bakken in regards to indirect is about 5% of that portfolio. So that’s part of why we’re saying and always, it is not going to be an issue. And we are continuing to see that indirect portfolio grow and interestingly that the sale of automobiles has fallen off and we think that’s probably related to the drop in oil prices, but the sale of motorhomes and travel trailers had significantly trumped up, which is related to the lower gas prices.
Matthew Ferguson: Thank you very much.
Operator: This concludes our question-and-answer session. I would now like to turn the conference, we have Jackie back again, I apologize for that.
Ed Garding: Welcome back, Jackie.
Jackie Chimera: Thanks, sorry I got cut-off a little early...
Operator: I am sorry, Jackie that was my fault.
Jackie Chimera: No, no problem, I was able to get back in queue. I just wanted to get a quick clarification on something in the press release. There was mentioned about $1 million in accruals related to Mountain West. Was that a non-interest income or non-interest expense?
Kevin Riley: That was a non-interest income.
Jackie Chimera: Okay, and just on the other category I’m guessing?
Kevin Riley: Yes, correct.
Jackie Chimera: Okay. And then sorry if I miss this in your prepared remarks, but the 2 larger credits that cause the uptick in NPA this quarter, those were not related to the bucket, correct?
Ed Garding: No one of them is directly related, it’s an oil production loan and there is just no question that the borrower was highly leveraged in the drop in the price oil has affected their cash flow.
Jackie Chimera: Okay. Was that already in one of the credit size loan bucket when excluding the NPA?
Ed Garding: Yes, it was.
Jackie Chimera: Okay. And then just lastly, you think very positive on tourism and more so perhaps than in last year. Do you expect it to be a larger factor than it was in 2014?
Ed Garding: Yeah, we can do a little bit of gauging based on the reservations, and there is no official report on that, you just have to visit with your Hotel Owners Association in each state and so forth, but reservations in all three states are up more than they were last year especially over in South Dakota that 75th anniversary of that Sturgis Rally is a very big deal to the Sturgis Rally people, and we keep hearing over there, but don’t even try to come the Sturgis because you won’t get in. And so for those reasons we think it will be good, but also last year, we hit record numbers in both Yellowstone and Glacier, and this year gas prices are significantly lower than they were last year.
Jackie Chimera: Okay, and then is it fair to say that the increase in tourism might provide some job for others who may have lost them in the Bakken?
Ed Garding: Yes, it will certainly provide jobs and I can tell you like Bakken to the builder’s especially in Eastern Montana the home builders, they’re all if you ask them about the drop in oil prices, they are saying the good thing is that I can now hire skilled labor again, because a year ago that was their biggest challenge as they were taken inordinately long time to finish projects, because they couldn’t find skilled labor, and now they’re saying the skilled labors come back to the market, so that’s the good part of that. Now those people are probably not making the same level of wages as they were in the oil field, but nevertheless they are working. So we really think that the economy centered around that oil field has gone from a gold rush camp crazy to just a really good economy, because there is still 90 oil drilling rigs working in North Dakota. Now, year and a half ago there was a 180, so it’s a half of a drop but 90 rigs working meaning they are still doing some drilling is still a lot of economic activity for a spatially populated area.
Jackie Chimera: Okay, so that makes great sense. Okay, thank you very much. Regard the call, I appreciate it.
Ed Garding: You’re welcome Jackie.
Operator: Thank you and this now concludes our question-and-answer session. I would like to turn the conference back over to Ed Garding for any closing remarks.
Ed Garding: No closing remarks, just as always we welcome calls from investors and analysts, so reach out to us at anytime. Thank you for tuning in and have a good day.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.